Operator: Good day, and welcome to the Fourth Quarter 2014 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Jeff Dodge. Please go ahead, sir.
Jeffrey L. Dodge: Thanks, and good morning, everyone. Welcome to today's conference call. I'm Jeff Dodge, Investor Relations, and with me today are Rick Smith, Chairman and Chief Executive Officer; and John Gamble, Chief Financial Officer. Today's call is being recorded. An archive of the recording will be available later today in the Investor Relations section in the About Equifax tab of our website at www.equifax.com. During this call, we'll be making certain forward-looking statements to help you understand Equifax and its business environment. These statements involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from our expectations. Certain risk factors inherent in our business are set forth in filings with the SEC, including our 2013 Form 10-K and subsequent filings. We will be referring to certain non-GAAP financial measures, including adjusted EPS attributable to Equifax, adjusted operating revenue and adjusted operating margin that will be adjusted for certain items which affect the comparability of the underlying operational performance. Adjusted operating revenue includes the collection of certain reserved 2012 billings from 2013 revenue. Adjusted EPS attributable to Equifax excludes acquisition-related amortization expense and the associated tax effects as well as certain other items. The other items excluded for 2013 are the collection of certain reserved 2012 billings, which occurred during the fourth quarter of 2013, the resource realignment charge and the impairment of our investment in Boa Vista. In 2014, we also excluded the associated tax effects in addition to the impact of a settlement of a legal dispute over certain software license agreements. The adjusted operating margin also excludes certain items. For 2013, adjusted operating margin excludes the collection of certain reserved 2012 billings and the resource realignment charge. For 2014, the adjusted operating margin excludes the legal settlement regarding the dispute over software license agreements. All of these measures are detailed in our non-GAAP reconciliation tables included with our earnings release and also posted on our website. Also, refer -- please refer to our various investor presentations, which are posted in the Investor Relations section of our website at www.investor.equifax.com for further details. Now I'd like to turn it over to Rick.
Richard F. Smith: Thanks, Jeff, for that very detailed introduction, that was great, and thanks, everyone, for joining us this morning. As I always do, I'll go through the high-level review of the fourth quarter. Jeff -- or John will then go through the financial. I'll come back with an outlook for 2015, then we'll go to Q&A. We finished 2014 in very strong fashion and we carry some good momentum as we move into 2015. Looking back at last year, both reported growth and constant currency growth in the fourth quarter finished at their highest level of the year, which is always a good thing. For the quarter, fourth quarter 2014, total revenue was $625 million, up 8% on a reported basis and up 10% on a local currency basis from the fourth quarter 2013. In the quarter, FX created a $13 million year-over-year headwind, which was a significant increase from the third quarter headwind of $6 million. I think you all are intimately aware of what's going on with the euro, the ruble, the pound and others. Core non-mortgage market growth accelerated nicely to 8% in the quarter ending the year at 7%, solidly in the range of our long-term growth model. Consistent with the view we've articulated throughout the year, the mortgage market was no longer a headwind in the fourth quarter. As a result, in 2015 and beyond, we'll focus our attention on the constant currency organic growth rate. What I mean by that is we've broken out the past few years -- because of volatility, we've broken out mortgage impact and we'll no longer do that because we, as I'll talk about later on, we expect the mortgage market to be relatively benign year-on-year when we look at 2015. The adjusted operating margin for the fourth quarter was 26.5%, in line with the guidance that we gave you for the quarter. Our adjusted EPS was $1.02, up 12% from $0.91 a year ago, and it was at the upper end of the range that we've guided to. Also, given our strong performance for the quarter and the year, we've announced a 16% increase in the dividend, moving from $0.25 a share per quarter to $0.29 a share. As I always do, we transition into some of the business units highlights that I think are noteworthy. First, let's start with USIS. They accelerated their revenue and their margin -- and expanded their operating margins throughout 2015, and they're poised to deliver an even stronger top line growth and margin expansion in 2015 than they delivered in 2014. A couple of highlights. Decision 360, which we've talked to you a lot about, continues to deliver unique value for our customers and drive revenue growth for us. A couple of interesting data points. In 2014, if you take our top 100 customers, on average, they use now up from 1 product to 3 different unique data assets that we have, which is really adding value to them and to us. It's even a better story when you look at our KCP accounts. We've talked to you about that, the key client program accounts, about 8 of our largest customers in the United States. On average, they are now consuming 4.5 products, unique data assets that we have. And again, anytime we can bundle the unique data assets together to add value to a client, they win and we win. So Rudy Ploder and his team have done a great job of not just monetizing these assets, but making it easy for our customers to consume. Sticking with USIS. We continue to make great progress in the auto sector, where we provide not only credit information to our auto customers, but also adding now employment income verification. In 2014, revenues from our auto group grew by 17%, almost 3x the rate of the market growth. We expect that trend to continue in 2015 as well. IXI had a very successful year, returning to strong double-digit growth, driven by new product innovation and deeper penetration with some of our largest, most important customers. One of our more significant and unique fraud initiatives, ID management and authentication, continue to position us well with large government contract opportunities, particularly with the federal agencies, such as Social Security Administration and the IRS. In 2014, we processed over 516 million identity verifications within the government and across all verticals in the U.S. alone. Through the concerted effort of USIS, enterprise selling has become an integral part of our go-to-market initiative. We developed a detailed strategy for each vertical, including pricing, product innovation, distribution, incentive compensation, enabling us to further accelerate market growth and penetration. On to International, we had an outstanding execution of the NPI initiatives. They delivered a vitality index of 14%, fueling solid growth in virtually every market where we operate. We anticipate revenue growth to be at the upper end of the long-term range for 2015, which is 7% to 10%, and we expect margins to expand nicely throughout the course of 2015. Some highlights there. Single-digit growth in our core Information Solutions product offerings, coupled with double-digit growth in Decision Solutions and Personal Solutions, resulted in another year of strong organic growth and a much stronger market position as we enter 2015. U.K. exited the year with double-digit growth and very high-single-digit growth rate for the year, significantly outpacing the economic environment growth. Particularly for us, it was a double-digit growth in decision analytics and Personal Solutions. That's a trend that's continued now for 3 or 4 years in the U.K. Canada exited the year with very healthy double-digit constant currency growth rate, primarily driven by their core Information Solution product offerings. Those are 2 great examples of where the team is executing at a level enabling them to grow at significant levels above and beyond what the economy is contributing. Latin America delivered broad-based, double-digit constant currency growth across virtually all major product lines in all countries. In Russia, we added over 20 million records to the credit database and have significantly expanded the data assets in our fraud prevention system. We should talk a little bit about Russia, we've got some questions. Obviously, the sanctions and the ruble will impact our view of Russia going forward, at least for 2015. Finally, all of the centers of excellences that support our business units, especially in this case, International, have dedicated significant resources to ensure the successful integration of TDX. And I believe right now, the integration of TDX is largely behind us. TDX and the COEs will now focus their immediate attention on the very large opportunity with the U.K. government that we announced in December. For that project, which is going well, there'll be required IT developments in order to meet the security requirements of the U.K. government. We're, in essence, standing up the environment to handle what the government needs. It's going as planned, as scheduled. We expect that environment to be stood up sometime in the late second quarter to mid-third quarter. Start getting the data into system at the time, it takes us some time to format the data, cleanse the data and then work with our partners, the collection agencies. We expect to monetize -- start monetizing that win some time in the late fourth quarter and ramp up really nicely in 2016. So that's going as planned. On the Workforce Solutions. They had a blockbuster year in 2014. Despite significant headwinds from the mortgage market, Workforce Solutions delivered strong double-digit, non-mortgage market organic growth once again and 270 basis points of margin expansion for the year. We're expecting to get another really solid, good growth here in 2015 for EWS as well as meaningful margin expansion once again, that's the great thing about those models. Our Workforce Solutions exited the fourth -- exited the year and the fourth quarter with core non-mortgage market organic growth rate of over 17%, remarkable. For the year, core non-mortgage market growth was 13%, driven by strong double-digit growth in auto, government and preemployment. We now have over 4,300 companies across the United States contributing employment and income information to The Work Number database. Our data and analytics initiatives, which we talked to you about now for a couple years, are key drivers of revenue growth in both 2014 and 2015. In fact, we are looking at 35% to 40% growth in our analytics product line across EWS in 2015. In 2014, we signed 227 contracts with companies who need to assure their compliance obligations under the Affordable Care Act. In addition to the incremental revenues, customers are also contributing their employment and income information to The Work Number database. So it is two bites of the apple, if you will, making money on the analytics for ACA as well as building the database at a much faster rate. We're also developing a number of other innovative analytical solutions to enlighten employers about the demographics and the profile of their workforce, truly taking EWS and bringing it to the level of any other business we have around in the world, if not even higher, in the area of analytics. We've also broadened our relationship with CMS, leveraging our historical records to provide employment income verification on individuals and alleviate their need to use alternative, more costly sources of information. We're expecting our CMS relationship to grow by over 50% in 2015 when compared to 2014. What I meant by that comment there is we started off with CMS just using very recent records off The Work Number, we're now going back to older records, which still add great value and provide solutions to CMS, thus providing an increased revenue source for us. Finally, our compliance center initiatives, such as I-9, are generating strong interest from employers who require great assurance on their compliance with numerous regulatory -- regulations and laws, and that's been a great growth vehicle for them and EWS. On the PSol. They have moved aggressively on their four-pronged strategy that I outlined briefly in the third quarter call, improving on their execution of delivering value-added products that consumers need and want, expanding our presence in the indirect market through the TrustedID acquisition, enhancing our International opportunities, leveraging our domestic delivery platforms and product strategies and evaluating opportunities in the lead generation space to compete more directly with the freemium companies that exist. We anticipate 2015 growth in margin will be in the range of their long-term model we communicated to you before. We have a variety of initiatives in value-based acquisitions and retention. We improved customer lifetime value of our core product offerings by almost 45%. We also have a number of other initiatives underway addressing our media strategy, increasing ARPU and lowering our churn, all of which enable us to deliver stronger growth and margin expansion. In the indirect market, our TrustedID team has signed contracts or is in negotiation with financial -- large financial institutions and nonfinancial institutions on opportunities, which, in aggregate, could represent up to $25 million of annualized revenue potential. H&R Block is an excellent example of how we're developing highly customized and unique product offerings which support and enhance our indirect partners' customer relationships. It also underscores how Personal Solutions is developing new products and expanding its distribution channels with solutions that help consumers address the ever-growing threat of identity theft. Millions of taxpayers are victims of tax identity theft, where criminals use a consumer's personal information to file a fraudulent tax return. Leveraging our data and analytics expertise, combined with H&R Block's tax-related capabilities and expertise, H&R Block's Tax Identity Shield provides consumers with the ability to better understand their vulnerabilities for tax identity theft, and most importantly, take the appropriate steps to help reduce that vulnerability. This is the first and only tax theft -- tax identity theft protection and restoration system product in the marketplace today, and we're proud to be working with a great partner like H&R Block. For the past few years, North American Personal Solutions team has worked very closely with their counterparts in the U.K. to accelerate the growth in the U.K. Effective in January of this year, we've decided to realign our Personal Solutions segments to include now the U.S., Canada and the U.K. And eventually, we expect to make this a global business, including Latin America. And the whole goal here is to leverage the infrastructure and expertise and the investments we're making in our largest PSol business, which is the U.S., to accelerate growth around the world, and it's paying dividends. Finally, Personal Solutions has been very innovative with a vitality Index of over 17% for 2014, the highest of any business unit in the company. And it's one of the reasons why we believe there'll be a number of opportunities in the lead gen space for us to deliver incremental revenue growth and to establish a strong, competitive position in the marketplace. Our unique mix of consumer data assets and strong partnerships with many of our customers should enable us to grow superior solutions in this space. Before I go over to John, let me just transition back with some things going on at the corporate level. At the corporate level, in addition to improving our overall operating efficiency with our LEAN organization, which you're aware of, has been around for about 8, 9 years now, at the request of some of our key client customers, our largest customers, the large A customers, we have now rolled out LEAN at their request into their operations. This effort has significantly strengthened our relationship with these customers and providing valuable insights on how to further reduce their operating expenses and improve effectiveness through the application of our various product offerings, a really unique way to add value to our customers at their request. New Product Innovation at the corp level continues to be one of our strongest engines for growth. We launched last year what we call NPI 2.0, and what that's done for us is enhance our Voice of Customer process to better understand our customers' needs and challenges. We've developed a better market testing environment that enabled us to bring products to market faster, build prototype and to launch full speed, to establish metrics for -- reestablish metrics for local NPI and made more effective use of our different IT platforms. So it's really refreshed NPI, and the results were solid last year. Here's an example. We're building products, as I said, faster, accelerating revenue at faster rates. And a great example is what we're doing in our Fraud and ID services, revenue of which globally was up over 17% last year. So it enables Fraud and ID to prototype a product faster, get customer feedback faster and then launch that product faster than we ever could in the past. So we should see time to revenue for NPI be reduced as a result of what we're doing with 2.0. In short, 2014 was an outstanding year. In addition to delivering record revenue and earnings growth, the team executed well on our 4 corporate imperatives and they are: delivering consistent, strong, profitable growth and shareholder returns; number two, developing unparalleled analytical insights, leveraging our unique data assets; three, continue to innovate for market leadership in key domains and verticals that are important to us; and fourth, further strengthen our reputation as a trusted steward and advocate for customers and consumers around the world. So with that, John, the financials, please?
John W. Gamble: Thanks, Rick, and good morning, everyone. As before, I'll be referring to the financial results from continuing operations generally presented on a GAAP basis. The FX headwind accelerated in the fourth quarter beyond what we originally expected. For the quarter compared to the fourth quarter of 2013, revenues were negatively impacted by approximately $13 million and adjusted EPS was negatively impacted by about $0.03 a share. Now let me turn to the business unit financial performance for 4Q '14. U.S. Information Solutions revenue was $284 million, up 3% when compared to the fourth quarter of 2013. Online Information Solutions revenue was $198 million, up about 7% when compared to the year ago period. Mortgage Solutions revenue was $25 million, also up 7% compared to Q4 2013. This compares favorably to the Mortgage Bankers Application index, which was down 13% in the fourth quarter. Financial Marketing Services revenue was $61 million, down 10% when compared to the year-ago quarter. IXI revenues were up double digits from 2013. The decline in CMS was primarily driven by $7.2 million of prior year revenues, which are detailed in our non-GAAP reconciliation tables and which Jeff referred to in his introduction. Excluding these prior year revenues from 2013, Financial Marketing Services would be up about 0.7% and CMS would be down about 1%. The operating margin for U.S. Information Solutions was 40.8%, up from the adjusted operating margin of 39% in the fourth quarter of 2013. International's revenue was $159 million, up 15% on a reported basis and up 25% on a local currency basis. Acquisitions contributed approximately 15 points of the local currency growth. Constant currency organic revenue growth was about 10%. By region, Europe's revenue was $72 million, up 44% in U.S. dollars and up 47% in local currency, driven by the acquisition of TDX. Organic revenue growth in Europe was slightly above 10%. Latin America's revenue was $49 million, down 3% in U.S. dollars but up 13% in local currency, which included the acquisitions of Inffinix and the credit bureau in Paraguay. Organic growth was 6%, driven by double-digit organic growth in Decision Solutions and Analytical Services. Canada revenue was $39 million, with organic growth of 3% in U.S. dollars and 12% in local currency. For the fourth quarter, International's operating margin was 22.6%, down from 29.1% in the fourth quarter of 2014. Workforce Solutions revenue was $129 million for the quarter, up 15% when compared to the fourth quarter of 2013. All growth in Workforce Solutions was organic. Verification Services, with revenue of $81 million, was up 24% when compared to the same quarter in 2013. Employer Services revenue was $48 million, up 2% compared to last year. The Workforce Solutions operating margin was 32.5% compared to 28.9% in Q4 2013. North America Personal Solutions revenue was $59 million, up 2%. Growth was driven primarily by Canadian subscription growth and indirect revenue through TrustedID. For the fourth quarter, operating margin was 33.7% compared to 30.7% in Q4 2013, largely driven by reduced marketing expense in the quarter. I should note that the figures I just presented reflect the organizational structure as it existed on December 31, 2014. As Rick noted, as of January, we have realigned our business units, consolidating our U.K. Personal Solutions along with North American Personal Solutions into the new Personal Solutions segment. In the attachments to our earnings release, we are providing 8 quarters of restated history for the segments as we will be reporting them in 2015. We also present our multiyear business model in the new business unit configuration. For the full year 2014, consolidated revenue of $2.44 billion was up 6% on a reported and an adjusted basis and up 7% on constant currency basis. The full year operating margin was 26.2% while the adjusted operating margin was 26.5%, down slightly from 26.7% in 2013. Diluted EPS attributable to Equifax was $2.97 compared to $2.69 for 2013. Adjusted EPS from continuing operations was $3.89, up 8% when compared to the adjusted EPS of $3.60 in 2013. Operating cash flow was again very strong at $203 million in 4Q '14 and $616 million for the year. We continued our aggressive stock buyback activity, repurchasing 1.4 million shares for $115 million in 4Q '14 and 3.9 million shares for $302 million in calendar year 2014. Our strong cash flow in 2014 allowed us to complete $340 million of acquisitions in addition to over $300 million in share repurchases and still maintain a very conservative leverage ratio of 1.8x EBITDA. We believe we have significant debt capacity available to us within our current credit ratings and are comfortable operating at leverage ratios in the 2.5x EBITDA area. With our strong cash flow and substantial available leverage, we can implement the 16% dividend increase we announced yesterday and continue a substantial share repurchase program while completing acquisitions consistent with the high end of our targeted 1% to 2% of annual revenue range. Now let me turn it back to Rick.
Richard F. Smith: Thanks, John. I'll quickly summarize before we go to questions. As we look at 2015, we expect the U.S. mortgage market will move from a headwind to slightly positive year-on-year. We could discuss that in detail during the Q&A. We expect, however, FX will continue to represent a headwind for both revenue and EPS throughout the year. The guidance I will provide is organic growth only at this time. However, as the year unfolds, I would anticipate adding to our overall growth rate through some M&A. With that and based upon the current level of domestic and international business activity and current FX rates, we expect 2015 revenues to be between $2.550 billion to $2.6 billion. This reflects constant-currency organic revenue growth of 7% to 10% in 2015, which is up from a 4% growth rate in 2014. The strong revenue growth is partially offset by what we anticipate to be 2 to 3 points of negative impact from FX. And again, this reflects organic growth at this time. At current FX rates, we expect adjusted EPS to be between $4.20 and $4.30 per share. Excluding the $0.12 per share negative impact from FX at the current rates, this reflects 11% to 14% growth in 2015, which is beyond the upper end of our range of the long-term model we have for growth, which is 10% to 13%. This guide is consistent -- the revenue growth is consistent with the long-term business model for organic growth. We also expect our 2015 operating margin to be up over 27%, which is up nicely from the 26.5% in 2014. Also, our priorities for capital allocation have not changed. We remain committed to our dividend policy of 25% to 35% of adjusted net income, reinvesting in our business with CapEx in the range of $75 million to $100 million and continuing our acquisition focus. Given our strong cash flow and conservative debt leverage, absent any major acquisitions, we intend to continue our current significant level of stock buyback activity. And finally, we anticipate the tax rate for the year to be between 35% and 36%. For the first quarter, we expect revenue to be between $632 million and $642 million, reflecting constant-currency organic growth rate of 11% to 13%, and this will be partially offset by 2 to 3 points of FX headwind. Adjusted EPS is expected to be between $1.00 and $1.03, which is up 12% to 16%. Excluding $0.02 per share of negative impact from FX, this reflects 15% to 18% organic growth. And also for the first quarter, we expect operating margin to finish over 27%, which is up over 100 basis points from 2014. So with that, operator, if you could please open it up for any questions our audience might have.
Operator: [Operator Instructions] We'll take our first from David Togut with Evercore ISI.
David Togut - Evercore ISI, Research Division: Nice to see the 16% dividend increase. Rick, could you comment on how many Work Numbers are now in the database. What are your goals for Work Numbers in the database, let's say, over the next year or 2? And what's the significance of the current number of work records in terms of driving business growth?
Richard F. Smith: Yes, Dann has done a hell of a job there and his team, David, not only taking the traditional path to adding Work Number records, but being very innovative with things like the ACA platform with different partners out there, and we're seeing an acceleration at the rate at which we're adding records. The total database ended the year well over 250 million, the active database well over 60 million. We -- as I mentioned in my opening comments, over 4,300 companies now are contributing. That's growing at a rapid clip every year. I see no reason we can't get the active records up over 100 million records in the database, in total over 300 million. And as I've always said before, both add value. The historical records, as I've mentioned on the CMS talk a few minutes ago, is a great source of revenue, and elsewhere, and you obviously know the value of the active records. And the significance of getting that database -- continuing to drive it, obviously, is incremental revenue. Every time you add a record, you get a hit, you get X amount of dollars. But as you continue to go from 30 million active to 40 million to 50 million to 60 million to 70 million, the viability that database has in high-transaction volume verticals is greatly enhanced. So we're making great progress in places like credit card, automotive, insurance as some examples.
David Togut - Evercore ISI, Research Division: Got it. And then just shifting gears, John, could you break down the online CIS unit growth and unit pricing trends in the fourth quarter on a year-over-year basis?
John W. Gamble: Sure. So I think core credit decisioning volume was up 14% and revenue per transaction was down about 5%. And the down about 5% was really volume mix.
David Togut - Evercore ISI, Research Division: And what are your thoughts for 2015 in terms of volume growth and revenue per transaction in online CIS?
Richard F. Smith: I don't expect a significant mix change in 2015 versus 2014, David. What you're seeing on volume is great growth in places like KCP. Again, I mentioned before, those are our 8 most strategic, larger, more complex customers that we deal with, bank and nonbank. That was great growth last year. I expect that to continue in 2015. Automotive, I think I mentioned up 17%, 3x the market growth, that will continue. There's another dynamic, David, going on, which may be of be interest to everyone here, and that is kind of a shift, which is influencing the online activity. A shift for what we call prospect data feeds, which used to reside or does reside in our business called CMS. And what customers used to do is take this mass mailing to try to target people. What we're seeing our customers want to do now more is up-sell, cross-sell current customers at the point of sale. So what you're seeing is kind of a decline in the CMS prospect data feeds and an increase in prescreened, which is an online activity. That occurred last year. I expect that trend to continue to occur in 2015.
Operator: We'll go next to Manav Patnaik with Barclays.
Gregory Bardi - Barclays Capital, Research Division: This is actually Greg calling up for Manav. Just wanted to ask about the seasonality of the revenue growth. You're showing the 11% to 14% -- or 10% to 14% revenue growth in the first quarter and 7% to 10% for the year. Is that differential coming from mortgage? Or how should we think of that throughout the year?
Richard F. Smith: Greg, as you might know, the first quarter tends to be the slowest quarter for us and it tends to ramp throughout the year. It's a little stronger in the fourth quarter versus the other three. What you're seeing in the first quarter is a couple of factors. You mentioned one, yes, you follow the 10-year treasuries, you follow the interest rates and the mortgage applications are up in the first quarter. Our expectation, Greg, as I said in my opening comments, is we expect overall mortgage for the year to be a modest tailwind versus last year. You could see a little strength in the first quarter and then kind of dissipating as we go to second, third and fourth quarters. So mortgage is a little bit of a help in the first quarter. But beyond that, the number of wins we had last year across-the-board, that could be ACA or EWS and that could be automotive in USIS, a large direct-to-consumer win we talked about back in the third quarter is monetizing itself in the first quarter. So think about it as being overall great execution by the BU leaders, which is driving the first quarter growth rate at a higher level than we'd normally see, combined with some help from the mortgage market.
Gregory Bardi - Barclays Capital, Research Division: Okay. And then I guess, on Personal Solutions, you've got your large competitors shifting their strategy in the direct market with the new FICO product. Just wondering how you guys are thinking about the direct market and how you're positioning yourselves there?
Richard F. Smith: I believe in the team. I believe in Trey. I think they've got a good strategy. It's a four-pronged strategy, which I laid out in the third quarter, which is, number one, to manage the core. Freemium's here to stay, no matter what. It's here to stay. So number one, he's got to manage his core business to the best of his ability, which is managing ARPU, managing churn, which they're doing. They've got great metrics. We've invested heavily in a new platform, we're calling it Renaissance [ph] within PSol, which enables them to launch products at a faster rate, better user interface and experience for the customer. Number two, he's got to leverage the headcount of his indirect model. We bought a company called TrustedID who's doing that. I mentioned $25 million worth of annual contracts that are in the pipeline, either closed or being negotiated right now. Number three, he's got to leverage everything he's doing, which is great in the U.S., to accelerate growth in Canada and the U.K. and take it to Latin America. Number four, he's in the process of developing his own free model. If you believe free is here to stay, which I do, why abdicate that responsibility to others? We're going to find a way to participate ourselves. So if he does that -- think about this as you think about building your models. Think about 2015 kind of being a transition year where performance improves throughout the year and 2016 and beyond is when we move back in that long-term growth model I communicated, which is mid- to upper-single-digit growth rates with mid- to upper-20% margins.
Operator: We'll go next to Ryan Davis with Crédit Suisse.
Ryan Davis - Crédit Suisse AG, Research Division: My first question is on the PSol segment. Outside of the reorganization, including U.K., what should we be thinking about as a sustainable rate of growth for the legacy business? And how much of it is direct to consumer versus the affinity today?
Richard F. Smith: You've got a couple of questions there, Ryan. I gave -- just gave the overall growth, so I think it was a portfolio with 4 different levers that we have in PSol, and that's going to be the mid- to upper-single digit. I think what you're going to see over time is a low-single-digit growth for the core legacy business and faster growth in the indirect business and faster growth in the International segments and the freemium model over time. So right now, the indirect channel is a smaller piece of the total, but one of the fastest-growing pieces of the total. And that was -- that -- our capabilities are greatly enhanced. We bought TrustedID, whenever it was, 12, 18 months ago.
Ryan Davis - Crédit Suisse AG, Research Division: Okay. No, that's helpful. And thinking about the margin progression in the International business throughout the year, I know you said you expected the margin to expand. Do you have any expectation or a target of where you expect to exit the year at?
Richard F. Smith: Yes. We expect to be over 25%, between 25% and 26% as we exit the year.
Operator: We'll go next to Andrew Jeffrey with SunTrust.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: I guess a couple of things. Starting with Workforce, great year. Rick, could you maybe elaborate a little bit on David's question about drivers. Is it primarily adding records? Or is it adding functionality and analytics, too? I'm just trying to understand sort of what the dynamics are there, so monetization and NPI and how that's influencing Workforce, in particular. And then given the momentum in that business, would you expect -- and I apologize if I missed this, would you expect '15 to show faster organic revenue growth than the long-term trend in that segment?
Richard F. Smith: Great questions. Think about the strategy -- the growth strategy in EWS on 4 dimensions, and they're all equally important. Number one is increasing the size of the database at the fastest rate we possibly can, so going from 67 million to 70 million this year, 70 million to 100 million records. That is an enormous -- you know the math, Andrew. That's an enormous growth lever in and of itself. Number two is taking The Work Number assets to either new verticals or deeper into existing verticals. We are at the early stages, for example, in automotive. It is booming for EWS, but it's very early stages. So we need to penetrate that market deeper, faster, so on and so forth, same with credit card. So more verticals and deeper in the current verticals we participate in. Number 3, it is taking analytics to a new level. I think I talked -- I can't remember the exact numbers now, Andrew, but I talked about 40% to 50% growth in analytics. It's remarkable what we've done. And it's meaningful, I'm not going to disclose the numbers, but it's meaningful dollars to the corporation, let alone to EWS, what they have done the last couple of years in analytics. And again, that's early days as well. The fourth one, which we don't talk about a lot, but is very, very important, this is kind of my fault from years ago. When we look at the employer size -- you've got The Work Number, which is the verification side, as you know, and all the other great suite of products we have, unemployment claims, tax credit, compliance center, so on and so forth. Our mentality for years, we've owned this asset for 8 years now, it's hard to believe, but to be totally honest with you today, asset is only there to protect the core Work Number. That's kind of a tough way to wake up every morning, thinking I'm here to protect. So Dann and I, a couple of years ago, decided to change the mentality. They were bringing a great new leader in Scott Collins and really changed the culture, the capabilities and the mindset to growth. So they've gone from a just project, which means you have probably negative growth to flat, to now a business that will grow for us even though things like unemployment claims are at historical lows. So that's how I think about EWS, on those 4 levers. And as far as the organic growth in 2015, yes, I think I may have mentioned, I expect their growth rate in 2015 to once again be a stellar and it will be all-organic, stellar growth and meaningful margin expansions once again.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Right. Yes, those long-term targets are helpful, and pretty impressive upside in that segment from even what you just reported. I guess the other question in USIS. Could you kind of just rank order the revenue growth drivers in that business in terms of new product adoption at KCP versus, again, monetization versus anything else that is critical in that sort of high-single-digit organic revenue growth expectation?
Richard F. Smith: Yes, let me tackle it from 2 angles, one is kind of strategic capabilities, another one will be verticals. On strategic capabilities, clearly, 2 significant growth drivers that we have experienced and will experience going forward. One is the -- what we call Decision 360, Andrew, which you're aware of. Now we have all these unique data assets. What Rudy has done is built this thing called the office or the connector. We've invested in systems. We have invested in prototyping capabilities that enable us now to take these unique data assets, pull them together and make it so much easier and faster for our customers to consume. That is really disrupting the marketplace. I think I mentioned that our top 100 clients are now consuming 3 products on average, our top KCP accounts are 4.5 to 5 products. So Decision 360, leveraging all these unique assets, is one huge strategic enabler. Number two is about 18 months, 2 years ago, we changed the organizational structure to a concept we call enterprise-wide, which is Rudy owns the relationship with all these large clients. So he takes all these unique assets and brings all those assets to the customers. That simplification of go-to-market strategy has helped. As far as verticals, that, I think, offers significant opportunity for core organic growth. Obviously, KCP, I mentioned significant growth last year. They will continue this year. Tom Madison's team have done a great job. Telco, we're uniquely positioned there. We have very unique data assets. Auto, we're growing at multiples of the market itself. In the midterm, I'd say -- what we're saying is a rebound in the home equity market. I think we talked about that last year. That will benefit Dann as well as Rudy. And I think that's a multiyear growth lever for us not just for 2015.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And one housekeeping one, if I may sneak it in. John, I noticed corp ex was up. I know there's some seasonality in there. It was above what we were looking for. Is there any callout in that?
John W. Gamble: No. Corporate expenses, we'd indicated that we thought they're going be flat to slightly up. They were up a little more than we expected. It was really incentive compensation. We did a little better than we had thought and the incentive comp was a little higher.
Operator: We'll go next to Ato Garrett with Deutsche Bank.
Ato Garrett - Deutsche Bank AG, Research Division: Just have one question on the resulting impact from the improving -- expectation for improving mortgage trends in the first quarter. Might that actually have a positive effect on price within USIS?
Richard F. Smith: It's interesting. It'll have a positive influence on margin, and I don't think that's from a pricing perspective. If you think about the margin -- and there's different buckets or categories of mortgage. As you know, prime [ph] mortgage may be a little less profitable than the online. But in general terms, an improving mortgage market does help the margins in USIS and helps the margins in EWS.
Operator: We'll go next to Nick Nikitas with Robert W. Baird.
Nick Nikitas - Robert W. Baird & Co. Incorporated, Research Division: Just really a strong performance out of Canada in the quarter. Realize it's a smaller subsegment, but with growth accelerating to 12% constant currency year-over-year, can you just -- I mean you mentioned the broader Information Solutions strength that you're seeing, but can you talk more about the drivers behind that and your outlook for the business into 2015?
Richard F. Smith: Yes, Nick, if I could take your question and maybe just expand it a bit because there are a couple of geographies I'm particularly proud of outside the U.S. and the growth, and you mentioned one, which is Canada, but the other is U.K. I mean, as a troubled economy, it's growing double digit as you exit the year. Another's Spain. I mean, let's go look at Spain. If you look at Spain, we're growing almost double digit there as we exit the year. It's just remarkable. Those 3 countries, which are not booming economies, by any means. Canada is a commodity-based economy, they're starting to slow. So the core you are seeing there -- or the reasons you're seeing the growth in Canada, to answer your question, as well as U.K. and Spain, is the same set of strategic initiatives we have across the company, it's innovation, it's building new products, it's taking products to market faster. It's driving analytics. It's leveraging Fraud and ID. So the core strategies important to Rudy Ploder and important to Dann Adams in EWS and Trey Loughran in PSol are the same initiatives that Paulino and his team in Canada, U.K. and Spain are driving.
Nick Nikitas - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then just circling back to the Verification Services revenue. Can you guys talk about any benefit you saw from the ACA in Q4? And is that driving some of the expected strong growth in Q1?
Richard F. Smith: Yes. So remember, ACA, you think about under 3 buckets. There is the contractual -- the contract we have at CMS. We think we've talked about it before that we'd expected last year to end the year slightly above the minimum guarantee, that's kind of what occurred, and that will accelerate, by the way, as I mentioned in my comments, in 2015. The second bucket of revenue that was definitely additive to growth was the analytics side of ACA, which we talked about, 227 accounts. Probably going to grow something like 40%, 50% this year. And the third bucket was ACA revenue growth, which I did mention in my comments, too, Nick is, every time you sell an ACA on the platform -- not every time, most times, to a company, they've got to give us their Work Number records, and many times those are Work Number records we never had before. So once we get them into the database, it's a reoccurring monetization. So all 3 of those had some assistance in fourth quarter 2014 and will accelerate in 2015.
Nick Nikitas - Robert W. Baird & Co. Incorporated, Research Division: Okay, good to hear. And then just last one for me. Looking at the USIS margins, you mentioned the mortgage beneficial impact in '15. Just looking year-over-year, would you, I mean after salary growth in '14, should we expect that margin expansion to moderate going into '15?
Richard F. Smith: Well, for us, as I mentioned in my comments, we expect the company to move to a margin level of over 27% in 2015. For us to attain that, every business has got to move in the right direction, including USIS. So I expect USIS margins to continue to expand. That's just the beauty of their model, of International's model, of EWS' model, the variable cost -- the fixed cost is so high. Yes, I'd expect the margins to increase.
Operator: We'll go next to Brett Huff with Stephens Inc.
Brett Huff - Stephens Inc., Research Division: Two questions from me. One, I just want to make sure I'm getting the 1Q versus full year guide. There was a question I think that someone opened with. And I think you answered mortgage a little bit better relative to the year-over-year comp early in the year and tapering a little bit. But aside from that, it sounds like the 1Q strength is just reflecting wins from last year. Is there something about those wins that they would taper? Or are we just sort of waiting until we see how the year plays out and maybe things get a little bit -- maybe we have more visibility as we go out?
Richard F. Smith: It's more of the latter. It's -- I'm glad you asked the question, Brett. As we look at 2015, John and I and the BU leaders are very optimistic for the year. But to take those kind of growth rates and extrapolate those for the balance of the year, I think, is imprudent at this time. There's a lot of uncertainty where the 10-year treasuries go, what happens in Ukraine, what happens in Russia, what happens in the European economy, what happens in Greece. So not knowing or not having the clarity of what's going to happen on the macro perspective for the second, third and fourth quarter, I think it'd be imprudent to be too optimistic in the forecast we've given you now. The other thing, too, is, as I've mentioned, the forecast is largely all organic. And our philosophy is when you have a big deal like the one we won at TDX, one, getting the company integrated; and two, throwing all of the resources [ph] to get those multiyear couple of hundred million dollar opportunity up and running is the full focus of International team and of our M&A team, which is intimately involved in that. So we're kind of taking our gas -- or foot off the gas on the M&A. We'd expect that to pick up, and as I said before, in the second half of the year.
Brett Huff - Stephens Inc., Research Division: Great. And just one final question, a little bigger picture. We thought USIS would show a little more strength, just our sense is that credit card offers are starting to sort of go out down into the prime and near prime from just the super prime. Credit's generally easing a little bit for consumers. We thought that would show up. It wasn't quite as strong as we thought. Is there a drag in there from North American Commercial? Or is there something kind of hidden in USIS that may be dragging a little bit that we can't see from the subsegments?
Richard F. Smith: No, to address one thing, which I'm glad you brought it up. Even though we don't disclose it anymore, our Commercial business ended the year with their highest growth rate of the year in the fourth quarter. So when you look at drag, which specific line are you looking at? CMS? Online? What are you looking at when you referenced...
Brett Huff - Stephens Inc., Research Division: We were just looking -- I think you guys came in at 3% all in for USIS, and I just thought generally those items, even sort of accommodating mortgage, I thought that -- we're just sort of sensing there's more, like I said, specifically on the credit card side, we just thought there'd be more pulls on your credit files than we did. So I just didn't know if you guys are seeing that or maybe not yet?
Richard F. Smith: The only one thing that I think, John talked about it a little bit, is the fact that you have a big chunk of the business, CMS, that was flat and that impacts USIS in bulk [ph].
Operator: We'll go next with Shlomo Rosenbaum with Stifel.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: Look, you guys kind of alluded to this a little bit, but I wanted to just probe a little further. Between the capacity on the debt side and the healthy free cash flow and the low leverage, it's just kind of a setup for the potential for a big deal, potentially deploying somewhere around $1 billion, if you want to, without stretching the business really too far. Is there -- are there deals of that size in the pipeline potentially some time for this year? Or is that really not within the kind of the scope of what you're looking at right now?
Richard F. Smith: Obviously, I'll stay at a high level, Shlomo, but you hit it on the head. We have the potential capacity to do a lot of midsized deals or some significant deals. I don't see this happening in 2015. You know my philosophy. You can only do so many large deals at a time. You want to make sure that they're operating at a level that our shareholders expect. Since I've been here in 10 years, we've done TALX, CMS, now TDX. So right now, all of our energy is really getting TDX up and running as a core business and getting us through the acquisition -- or this new win we announced up and running. So you'll see us doing deals this year, but you'll see us doing more mid- to small-sized deals. I just don't see that large, transformational deal front and center for this year. Plus, I don't really see the need to have to do a large deal this year.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay, that's helpful. And there was -- I think it was the last quarter when we talked a little bit about the implementation times for TDX and making sure that you want to kind of get that right. The timing, the sales, the demand seemed to be good, but you want to make sure that the implementation works and that might be -- maybe went a little bit slower. In the additional 3 months since the last time we talked, has there been any kind of streamlining of that or improving kind of the implementation targets for TDX deals?
Richard F. Smith: Yes, the answer is absolutely yes. And I alluded to it at very high level in my comments. We overwhelmed, in a positive way, I'd say, TDX on the integration front the second half of last year and really accelerated through the fourth quarter last year. We have supportive [ph] forecasting models down. We understand different variables. I'm very pleased with where Paulino and Andy Bodea from the operations perspective are. We've moved people over to Nottingham to assist and we are expecting double-digit growth from TDX in 2015, excluding any lift from that large deal we won in December.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And then just moving a little bit to the freemium space. Can you talk a little bit about the kind of strategy over there and the work that you have to do just to make sure that you don't cannibalize the existing very kind of healthy margin business [indiscernible]
Richard F. Smith: Yes, there are 2 strategies. If you just take and bifurcate the freemium into the 2 buckets, one is the organic path, which means different level of advertising, different type of advertising. And the other is the build with some sort of capability through M&A. We're looking at both. But Shlomo, I talked to the team about that and I think they get it as well. You talked about cannibalization. If we don't do something, those that exist in the marketplace will, in fact, cannibalize that for us. I would rather have our own product, which would be a high-margin product, cannibalize our core legacy business than give it to someone else. So it's a matter of fact. Over some period of time, the freemium model, I think, is going to be the dominant model. And it's either we find a way to participate ourselves or you get out altogether, I'm not going to do that. So there'll be some cannibalization, but it'd be [indiscernible].
Operator: And there are no further questions at this time. I'd like to turn it back to our speakers for any additional or closing remarks.
Jeffrey L. Dodge: Okay. I thank everybody for their time and their interest in Equifax. And I think, with that, we'll terminate the call. Thanks, again.